Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Nature's Sunshine's Financial Results for the Second Quarter Ended June 30, 2023. Joining us today are Nature's Sunshine's CEO, Terrence Moorehead; CFO, Shane Jones; and General Counsel, Nate Brower. Following their remarks, we'll open the call for analyst questions. Before we go further, I would like to turn the call over to Mr. Brower as he reads the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Nate, please go ahead.
Nathan Brower: Thank you. Good afternoon, and thanks for joining our conference call to discuss our second quarter 2023 financial results. I'd like to remind everyone that this call is available for replay via telephonic dial-in through August 23 and via a live webcast that will be posted in the Investor Relations portion of our website at ir.naturessunshine.com. The information on this call contains forward-looking statements. These statements are often characterized by terminologies such as believe, hope, may, anticipate, expect, will and other similar expressions. Forward-looking statements are not guarantees of future performance, and the actual results may be materially different from the results implied by forward-looking statements. Factors that could cause results to differ materially from those implied herein include, but are not limited to, those factors disclosed in the company's annual report on Form 10-K under the caption Risk Factors and other reports filed with the Securities and Exchange Commission. The information on this call speaks only as of today's date, and the company disclaims any duty to update the information provided herein. Now I would like to turn the call over to our CEO, Terrence Moorehead.
Terrence Moorehead: Thank you, Nate, and good afternoon, everyone. I want to thank you for joining today's call to discuss our second quarter results, which represent the second strongest quarterly sales in the company's history. Today, I'll provide some context for our second quarter performance and offer some insights on how we believe the business is progressing. Shane will then take you through our -- the specifics of our financials in more detail. In the second quarter, we continued to gain strength, building on the positive momentum we experienced in the first quarter, with reported second quarter net sales of $117 million or $119 million when excluding the impact of foreign exchange, which is a 14% increase versus the prior year. The growth was led by continued strength in Asia Pacific, followed by further stabilization in Europe and return to growth in North America and LatAm. Adjusted EBITDA was up 26%, coming in at $11.3 million due to strong sales growth as well as gross margin expansion from favorable product mix and price increases. While the external operating environment continues to be challenging, the underlying fundamentals and strength of our business remain firmly intact and the steps we've taken to create a more powerful consumer focused business continued to help build momentum in the quarter. Fueled by increased strategic investment, our global growth strategies, brand power, Field Energy and digital first, continued to gain traction, building momentum and strength across our operating business units, each of which delivered positive growth in the second quarter. In Asia Pacific, we continued to deliver strong results with record-breaking second quarter that delivered a 22% sales increase on a constant currency basis. Our Field Energy initiatives were a key driver as investment in field activation that focused on sales incentives and training helped drive order growth. Similarly, our brand power initiatives that focused on rebranding our websites and consumer facing imagery helped attract a new, younger group of customers that also contributed to order growth in the second quarter. As a reminder, several of our markets are still recovering from the COVID restrictions that prevented them from conducting normal business activities for an extended period of time. China was hardest hit by the restrictions and has only recently been able to focus on restoring customer growth after the restrictions were lifted. Fortunately, our business in China has responded well to the improved market conditions, and we're already seeing greatly improved results with a positive outlook moving forward. Overall, we expect strong growth throughout Asia Pacific in the second half of the year as we continue to invest in field activation to drive customer and order growth and invest in new rebranded packaging and several new product launches. In Europe, sales were up 23% versus prior year on a local currency basis, driven by targeted investments to stabilize Central and Eastern Europe. Specifically, our investments in Field Energy that focused on developing more relevant tools and incentives to support and motivate distributors and realign field fundamentals to address the changing situation on the ground have helped drive order growth and activation. Additionally, our investments in a new clean energy warehouse and revised distribution network have also helped stabilize the business and improve efficiency. Finally, our brand power initiatives focused on strengthening customer appeal with rebranded imagery and packaging. We also took the opportunity to take some strategic price increases across the region. Our European team has done an outstanding job driving sales and attracting new customers, despite the challenging macroeconomic and geopolitical environment. As we move forward, we believe continued stability in Central and Eastern Europe, combined with strong execution of our field fundamentals will create opportunities for us to deliver growth across the region in the second half of the year. In North America, we've reached an important milestone as second quarter sales turned positive, increasing 2% versus the prior year. The shift in momentum was primarily driven by our investment in digital and field activation initiatives that allowed us to overcome the headwinds that have negatively impacted the market for the past year. Our digital initiatives continued to gain momentum with North America digital sales increasing nearly 40% year-to-date with the expectation of stronger growth through the second half of the year fueled by a substantial increase in new customer acquisition. Our digital and CRM initiatives appear to be headed in the right direction. But what's equally pleasing is that we also saw a significant improvement in the overall business as our investments helped fuel growth in both orders and average order. In the second half of the year, we look forward to building on this momentum by further expanding our digital footprint and increasing the number of nutrition health practitioners recommending our products. Moving on to our supply chain initiatives. We continued to make progress on our margin enhancing and cost saving initiatives and have moved into the execution phase of the plan. As a reminder, the structural changes we're making to our product line and supply chain will provide significant improvements to gross margin, but many of the initiatives involve redesigning processes and revamping sourcing relationships, and this takes time. We remain confident we'll achieve our objectives and add significant value. Looking ahead, we remain positive about the future as this quarter's results are indicative of the strong underlying fundamentals of our business. As we build momentum, we'll continue to invest in our key growth strategies and expand our competitive advantage to improve shareholder value. And with that, I'd like to turn the call over to our Chief Financial Officer, Shane Jones. Shane?
Shane Jones: Thank you. As Terrence mentioned, we're seeing positive momentum across nearly all markets, resulting in a strong quarter. Net sales in the second quarter were $116.5 million compared to $104.2 million in the year ago quarter. This 11.9% increase was driven by continued strong sales momentum in Asia, led by Taiwan and China, stable improvement in Central and Eastern Europe and North America returning to growth. Excluding the $2.6 million unfavorable impact from foreign exchange rates, consolidated net sales increased 14.4% in the second quarter versus last year. Looking at sales by market in Q2. Asia-Pacific continued to see robust growth with sales increasing 21.7% on a local currency basis. China's reopening, along with the resurgence of growth there was a key driver of this increase, with local currency sales growth of 37.7%. Taiwan also continues to see meaningful momentum and the opening of our new office in Kaohsiung helped to drive local currency growth of 40.6%. Likewise, in Japan, our investments in Field Energy continued to drive strong sales momentum, resulting in local currency sales growth of 16%. Sales in Europe during Q2 continued to see healthy gains increasing 24.2%. These outstanding results were driven by Eastern and Central Europe, where sales were up 32.2% and 21.3%, respectively, despite the challenging macroeconomic and political landscape. In North America, Q2 sales hit an inflection point, returning to growth with sales increasing 1.7% versus last year. Recent investments in our digital initiatives were key to this turnaround as the North America digital business grew 36.2% during Q2. In addition, digital customers ordering directly from our website increased 52% versus prior year. In Latin America, we continued to focus on Field Energy, sales tools and business fundamentals. That groundwork is beginning to yield results as sales in Latin America increased 6.5% in Q2, driven by Mexico, where sales were up 10.7% versus last year. Gross margin in the second quarter increased 90 basis points to 72.6% compared to 71.7% a year ago. The increase was due to market mix, price actions across various markets and lower transportation and distribution costs. These improvements were partially offset by higher material and production costs and the previously mentioned unfavorable foreign currency exchange. Volume incentives as a percentage of net sales were 30.3% compared to 30.8% in the year-ago quarter. The decrease was primarily due to changes in market mix. Selling, general and administrative expenses during the second quarter were $42.3 million compared to $36.9 million in the year-ago quarter. This increase was driven primarily by increased service fees in China as the market continues to recover, increased variable costs related to sales growth and investments to drive our digital growth and strategic initiatives. As a percentage of net sales, SG&A was 36.3% for the second quarter of 2023 and compared to 35.4% in the year ago quarter. Operating income was $7.0 million or 6% of net sales compared to $5.8 million or 5.5% of net sales in the prior year. GAAP net income attributable to common shareholders for the second quarter was $2.4 million or $0.12 per diluted share as compared to $0.5 million or $0.03 per diluted share in the year-ago quarter. The higher GAAP net income was primarily the result of the strong sales growth in the quarter as well as a lower provision for income tax compared to the second quarter of last year. Adjusted EBITDA, as defined in our earnings release increased 26% to $11.3 million compared to $9 million in the second quarter of 2022. The increase was driven by the improvement in sales and gross margin. Our balance sheet remains clean, with cash and cash equivalents of $69 million and only $0.5 million of debt. Inventory declined slightly in Q2 compared to where we ended Q1. As part of our capital allocation plan, we continue to utilize our share repurchase authorization, buying 99,000 shares year-to-date for $0.9 million or an average of $9.28 per share. As of June 30, 2023, $23.1 million remains of our $30 million share repurchase program. Looking beyond share repurchases, our healthy capital allocation structure positions us well to continue our digital transformation and other strategic initiatives. Now turning to our 2023 outlook. During Q2, we continued to experience sequential growth across nearly all of our markets. Due to this momentum, we now expect to report 2023 full year sales between $440 million and $455 million, representing year-over-year growth between 4% and 8%. With respect to gross margin, we continue to make good progress on our supply chain initiatives and we expect meaningful improvement in 2024 and beyond. For the remainder of 2023, we expect only modest improvement versus 2022 as early benefits from our initiatives in pricing are partially offset by continued inflation and foreign exchange headwinds. We also expect SG&A, excluding the one-time charges related to Japan to be sequentially higher during the second half of the year due to investment in our strategic growth initiatives along with timing of events. As a result, we expect adjusted EBITDA for the full year to be between $34 million and $38 million. Overall, we're very excited about both the immediate and long-term growth opportunities for the business, and we remain committed to driving improved efficiency and profitability and are working to pursue opportunities to maximize shareholder value. Now I will turn the time back to the operator.
Operator: Thank you. We will now take questions from our analysts. Your first question comes from Linda Bolton-Weiser from D.A. Davidson. Linda, please go ahead.
Linda Bolton-Weiser: Yeah. Hello. Congratulations on a good quarter.
Terrence Moorehead : Hi, Linda.
Linda Bolton-Weiser: Hi. I was wondering -- I'm sorry, I missed -- maybe missed when you said. Did you say how much China was up within Asia Pacific?
Shane Jones: China was up 37.7% for the quarter on a local currency basis.
Linda Bolton-Weiser: Okay. And I'm just trying to see here -- sorry, I'm just looking to see, is that -- was that against a very easy comparison? Is that when the declines started last -- actually, no, the sales were only down modestly in the second quarter last year. So you have even easier comparisons coming up in the next couple of quarters in China. Is that correct?
Shane Jones: We have some relatively easier comps coming forward, yes.
Linda Bolton-Weiser: Okay. So I'm just curious, do you think -- I mean do you think the growth will accelerate even more or do you just hope it kind of stays around that 30%-some growth rate?
Shane Jones: We're encouraged by what we're seeing in China. Obviously, 37.7% growth is a good metric. We hope to be able to get better than that, but at least at this point, counting on at least getting that and then building from there.
Terrence Moorehead: Yeah. We like what we're seeing happening in China.
Linda Bolton-Weiser: So can you remind us what model specifically you use in China? Is it omnichannel kind of like it is here in the U.S. or are there little stores? Like, what's the model there in China?
Terrence Moorehead: Yeah. Most of the way they're selling is through digital activation. And so it's -- we would have our distributors who are using kind of -- actually, they call them influencers, so it's an influencer-based model, driving sales through vehicles like TikTok, leveraging WeChat. They do a really great job on live webinars as well. So it's largely kind of a digital platform driven by a network of influencers.
Linda Bolton-Weiser: Okay. That sounds good. I think you mentioned digital orders in North America were up 36%, but ordering directly on the website was 52% growth. Is the difference between those like Amazon? Is that the difference? Like the digital orders, they sort of include...
Shane Jones: No. Let me clarify, the 52% is a customer count number. The number of new customers ordering on -- from our website is up 52%. So it's a slightly different number.
Terrence Moorehead: Yeah. So as we've said, we've intensified our focus and investment on digital. We're seeing a significant uptick in new customers coming on board, and that's driving sales and orders.
Linda Bolton-Weiser: So the 36% growth, is that orders or sales?
Shane Jones: That is sales and that includes all of digital, yes -- all of North America digital.
Linda Bolton-Weiser: And how much as a percentage of North American sales is that now?
Shane Jones: We haven't been disclosing that number. I don't know -- yes, so the digital portion is roughly 20% to 25%.
Terrence Moorehead: Yes.
Linda Bolton-Weiser: Of North America. Okay. And again, sometimes -- again, I know we've discussed this before, but sometimes I do worry about the channel conflict potential with direct selling and digital selling. Are you seeing any backlash or any problems either with your stores or direct distributors with regard to your digital activities?
Terrence Moorehead: I think what we're seeing is -- excuse me, our theory is that a rising tide lifts all ships and that seems to be proving out. As we get our message out there in the marketplace more aggressively, we're seeing more activation online, and we're also seeing improvements in our kind of the rest of our business as well. So -- and that means we're activating kind of many of our distributors, inactive and lapsed customers productively as well. But so far, so good.
Linda Bolton-Weiser: Okay. And then just about North America. It's good to see that growth there. Again, I'm looking to see -- it does look like you had an easy prior year comparison there. So is it just the comparison is getting so easy or are you actually seeing a little improvement in consumer buying behavior?
Terrence Moorehead: No. We're actually seeing improvements in buying behavior. And I think we're -- historically, we were seeing our order count hold steady, but average order was way down. And this was kind of the first time in a while where both orders were growing and average order was growing. So that's an encouraging sign for us.
Shane Jones: And further to that point, I did say inflection point and I meant inflection point and that we expect to remain -- to see that growth strengthen, not subside.
Linda Bolton-Weiser: Okay. That sounds good. And on your supply chain initiative and your cost reduction, I know there were some numbers put around that. Can you remind me like was there an amount for 2023 and there's something for end of 2024 or what was that target?
Terrence Moorehead: Shane, you want to take that one?
Shane Jones: Yeah. We talked about a $10 million savings target that we're working to accomplish over 24 months. And so if you do the math on that, then it's a little less than 300 basis points.
Terrence Moorehead: And I think we'll start to see...
Shane Jones: And we'll start -- yeah. Sorry. And with -- really because of the timing and being able to realize that -- we've obviously started that. We're seeing a lot of the progress. We're still in the execution phase, but we won't actually see very much of that show up in the P&L until 2024.
Terrence Moorehead: It just takes time to work through the installed inventory base.
Linda Bolton-Weiser: Right. Okay. And then I think you mentioned price increases in EMEA. Like what magnitude were those roughly?
Terrence Moorehead: Shane?
Shane Jones: So we've made price increases in more than just EMEA. We've actually done price increases across most of our markets averaging about 3%.
Linda Bolton-Weiser: Okay. I think that’s all for me. Thank you so much.
Shane Jones: Thank you.
Terrence Moorehead: Great. Thank you.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Moorehead for closing remarks.
Terrence Moorehead: Okay. Thank you. And we'd like to thank everybody for listening to today's call. And we look forward to speaking with you again when we report our third quarter 2023 results in November of this year. Thanks again for joining us. Take care.
Operator: Ladies and gentlemen, this does conclude today's conference call. We ask that you disconnect your lines at this time. Thank you for your participation.